Operator: Good morning, and welcome to GAP's Second Quarter 2024 Conference Call. All lines have been placed on mute to prevent any background noise. After the presentation, we will open the floor for questions and at that time, instructions will be given if you would like to ask a question. It is now my pleasure to turn the conference over to GAP's Investor Relations team. Please go ahead.
Alejandra Soto: Thank you, and welcome to the Grupo Aeroportuario del Pacífico second quarter 2024 conference call. Presenting from the company today, we welcome Mr. Raul Revuelta, GAP's Chief Executive Officer; and Mr. Saul Villarreal, Chief Financial Officer. Please be advised that forward-looking statements may be made during this conference call. These do not account for future economic circumstances, industry conditions, the company's performance or financial results. As such, statements made are based on several assumptions and factors that could change causing actual results to materially differ from the current expectations. For a complete note on forward-looking statements, please refer to the quarterly report. At this point, I'd like to turn the call over to Mr. Revuelta for his opening remarks. Please begin, sir.
Raul Revuelta: Thank you, Maria, and thank you to our audience for joining us today. As always, we appreciate your continued support and interest in GAP. I will briefly review operational and financial figures before taking your questions. During this quarter, the total number of passengers reached 15.3 million, which was a 3.9% decrease compared to 2023. The continued passenger traffic deceleration, was due to the preventive inspection carried out - on the A320neo and A321neo airplane engine. This is a process that began in September of last year, and is expected to continue for the remainder of this year into 2025. Despite this setback, we have continued to expand our strength of our network. During the second quarter, we added three international and two domestic routes, bringing the total number of routes added to our network to 13, just during the first half of this year. We anticipate adding around 11 international routes during the second half of the year, including the recently resumed Tijuana to Beijing route, which will start on July 12. These efforts are aligned with our air development and strategy. As of you're probably aware, last Friday morning on July 19, air travel all over the world experienced disruption related to a Microsoft outage for a customer of the 365 app, which includes many major airlines. While Gap's are perhaps non-internal system complications, as a result of the airline system outages, we have 274 delays and 23 cancellations in our Mexican network. Moving on to the financial performance. We experienced a convenient revenue decrease for aeronautical and non-aeronautical services of MXN213 million or 3.3% lower compared to last year. Lower aeronautical revenues were attributed to the decline in passenger traffic and reaches only 95% of the maximum tariffs. However, there was an almost 11% increase in commercial revenues, driven mainly by the food and beverage, car rentals and VIP lounges. A little further detail of these commercial revenues, I just mentioned, in terms of the car rental increase, these were mainly driven by the new bidding process carried out in Guadalajara, Los Cabos. Food and beverage stood out - at the Guadalajara airports, mainly due to the opening of the new tariff and the layout renovation carryout that result in a better brand mix offer. Furthermore, the priority pass fee for the use of the VIP lounges increases leading to a rise in the business line. Specifically in the Guadalajara and Los Cabos airports, which experienced the best performance related to our VIP lounge revenues. On July 9, we opened a second VIP lounge at the Vallarta airport. This will help us in the more adequately meeting in the high demand in this airport. Additionally, the hotel at the Vallarta airport during this quarter generate MXN18.6 million with an occupancy rate of 51% as of June. We are expecting to close this year approximately of 62% occupancy. New commercial opportunities and partnerships to drive the further commercial revenue growth are always top in the mind for us, and we continue exploring options. Regarding the acquisition of the cargo company, GWTC, we expect to begin to consolidate the results carry in the third quarter of 2024. In 2023, GWTC generated revenue above MXN1 billion with an EBITDA margin of around 40% and without financial debt. On the other hand, the purchase price allocation will be done in the second half of the year. As for the cost of service, this increases by MXN179 million or 17.3% mainly due to the higher operational expenses, such as employee costs, security, insurance and maintenance. While these rising costs do bring challenge, they also indicate our continued dedication to upholding high service standards, and operational excellence. Despite enforcing strict cost controls, we do anticipate higher expenses related to expansion and inflationary effects to continue. EBITDA decreased MXN378.7 million, or 8.3% as a result of the higher cost and slightly lower revenues. Looking ahead, we remain committed to driving growth and deliver value to our stakeholders. Our focus will continue to be on enhancing operational efficiency while at the same time optimizing our services to meet the evolving needs of our customers. Moving on to the balance sheet. Cash and cash equivalents decreased by 15.7%, reaching MXN12.6 billion. On the debt front, this figure reached MXN41.8 billion. We continue keeping healthy leverage levels, reaching a net debt-to-EBITDA ratio of 1.7 times for the trailing 12 months. Thereby complying with all our debt covenants. CapEx continued to follow the committed Master Development Programs reaching approximately MXN3.1 billion in the first half of the year. This positions us well to the comply with the current and challenging MDP goals we have in place. I want to mention that yesterday we opened the second runway at the Guadalajara Airport, which was one of the key projects for this contingent. This second runway will offer us the capacity to have between 50% to 70% of additional operations in the long-term and give us more flexibility to continue developing risk and connectivity throughout the region. This is another important step in meeting the growing needs of this airport, as I mentioned before. Regarding distributions, yesterday, GAP has paid the first portion of the capital reduction for a total of MXN3.5 billion per the resolution made at our extraordinary shareholders' meeting. The second portion will be paid later in this year. Now just an update on the Turks and Caicos airport bidding process. As you know, we are committing to exploring new markets and revenue streams in an effort to further diversify our network. Therefore, as we announced before, we were prequalified to bid for the Turks and Caicos airports, an airport mainly focused on international leisure traffic, which handled 1.4 million passengers in 2023. Most of the revenues come from the aeronautical side, but there is room for the improvements in terms of non-aeronautical activity. At this point in the bidding process, we are analyzing capital investment needs. Their criteria for the evaluation of the airports will be 70% for technical proposal, an investment plan and 30% financial evolution - evaluation based on proposal revenue share. The tender submission deadline is October 23, 2024, and the process is expected to be concluded in December of this year. Before I finish, I want to provide revised guidance for 2024. Passenger traffic and aeronautical revenue remain as was originally stated at the beginning of the year, whereas non-aeronautical revenues are updated with the performance of the commercial activities and the consolidation of GWTC. On the other hand, the EBITDA and EBITDA margin considering the aforementioned issue and the capitalization of the purchase percent of the concession fee, to be paid over Mexican airports, due to the recent change in law. With that, I conclude my comments and ask the operator to open the call for your questions.
Operator: [Operator Instructions] I will take our first question from Guilherme Mendes with JPMorgan. Please go ahead. Your line is open.
Guilherme Mendes: Good morning, Raul, Saul. Thanks for taking my question. First question is on the MDP negotiation. What is the latest there to post-elections, if there's any changes on when do you expect it for it to be announced? It's more towards the end of the year or could potentially be announced in the near term? And if the assumptions that you guys mentioned on the previous calls on the Investor Day, it's still valid in terms of tariffs and CapEx. And just one follow-up on the commercial side. The upward revision on the guidance, it's only related to the GWTC, or is there something else that has been surprising to the upside? Thank you.
Raul Revuelta: Guilherme, this is Raul. In terms of the MDP negotiation, we are in the, I would say, in the same time line that we expect. We are trying to close the new MDP with this administration. So in that way, we expect to have the authorization of the Master - MDP in September of this year. For the moment, we are - we don't see - or we are - at the moment, we are not seeing any kind of change on that, and we are aligned with the government, to trying and to get the authorization in this administration.
Saul Villarreal: Guilherme, this is Saul. Regarding your questions about the new guidance. Yes, it is only GWTC. As we mentioned last year, we have MXN1 billion of revenues with a 40% of EBITDA margin. And we are expecting to improve a little the EBITDA margin for this year. But at the end, it's already included in the guidance. Also, as we mentioned, the commercial performing, and also the capitalization of the 4% of the concession fee for the Mexican airports. That was at nine in the guidance release in January this year. So, those are only the three issues that were included in this new guidance.
Guilherme Mendes: Very clear. Thank you both. Just one follow-up on the MDP. If the assumptions that you guys mentioned about the zero to mid-single-digit increase on tariffs and 110 roughly CapEx per passenger, if that's to the base case? Or there something different?
Saul Villarreal: Guilherme, we are in the process of that. As you may know, this, we released our proposal to the authorities on June. We are now reviewing with them additional investments. We are revising different assumptions. And that's the hard part of the process. So right now, we are in that. We cannot provide more information, as you may know. But probably it will be a little bit higher, the CapEx, because we have additional requests from the authority that we have to analyze and define. So for now, we cannot release more detail, but it's close to what we have and released and announced in that update.
Guilherme Mendes: Very clear. Thank you both.
Operator: Our next question comes from Rodolfo Ramos with Bradesco BBI. Please go ahead.
Rodolfo Ramos: Thank you, everybody. Thanks for taking my question. A couple from my side. The first one is, it doesn't seem that airport is a big priority for the upcoming administration, but I wanted to get your thoughts on the new team that was announced for the Ministry of Transportation. If you have any thoughts there or have any approaches with members of the new elected President's team? And secondly, I wanted to get your thoughts on the Mexico City bottlenecks? And just to see whether the bottlenecks that we're seeing there. How do those impact, and at the same time, how do you intend to benefit those to strengthen Guadalajara? Like how can - how much traffic can encompass from the - its geographical area of influence from Mexico City, and kind of bypass Mexico cities in terms of this bottleneck that it had seen, because of the slot restrictions? Thanks.
Raul Revuelta: Thank you, Rodolfo, this is Raul. I will say that in the first view, what we are seeing on the new government or and the new minister already announced if someone that comes from the construction. I would say, alive and it's clearly that has a well-recognized career in terms of the development of the infrastructure in Mexico City. If for the moment, we are focused on all the relationships with the today's administration. Because we are just in the middle of the negotiation of the MDP. As soon as we have the results on the negotiation of MDP, we will begin to have - I would say a closer time or meetings with the new administration. But in general terms, I could tell you that, today, we are really focused on the MDP. And - on the other hand, one of the partners say - how important are going to be the airports on the new administration? I would say that for the moment, the only infrastructure plans that we have already heard are more focused on trains and passenger trains rather another thing. So, I'm not pretty clear which is going to be the, I would say, the complete plan for the development and infrastructure around the country and specifically about the airports. But in general terms, at least what we are hearing is more related to passenger trains rather than airports. In terms of what is happening in Mexico City and the possible bottleneck, first of all, today, on the short-term it's difficult to analyze, which could be the impact because there is a, I would say, a lack of enough seats related for the - on the engines of the 320s. So it's not pretty clear, which could be the impact in the future. But in general terms, what we have experienced in the last years is an increase on the strength of Guadalajara airport in terms of a hub. As you know, in the last, I would say, two years, we opened for the first time routes, direct routes to Canada to Spain, to Colombia. So in general terms, what we are seeing is that Guadalajara is continuing to strengthen their capabilities to be a more important hub. So in that what I'm seeing is in the coming years, depending for sure how the economy of the central area of Mexico and the economy of specific of Jalisco, Guanajuato, Aguascalientes. In terms of the general performance of the area, combined with the decision of allocation of the fleet of some specific airlines as it could be Volaris in Guadalajara, we will continue to see the strength of the capabilities of hub on Guadalajara airport.
Rodolfo Ramos: Okay. Thank you, Raul.
Raul Revuelta: Thank you.
Operator: Our next question comes from Jens Spiess with Morgan Stanley. Please go ahead.
Jens Spiess: Yes, hello. Congratulations, and thank you for taking the time for the questions. I just, very briefly, on the EBITDA guidance you already alluded to, I mean, it's quite impressive that the step change that would represent versus the first half growth, which I think is closer to minus 5% and your guidance is implying that in the second half of the year, EBITDA would grow at around 5%, if I'm not mistaken. And the new acquisition, I think we went around 3% of consolidated EBITDA. So how do we get from the minus 5% current run rate to the plus 5% in the second half of the year?
Saul Villarreal: Sorry, Jens, sorry to interrupt. The sound is not very good. It's cutting off. So I don't know if you can write down the questions in the webcast, please. Because it sounds not very good...
Jens Spiess: Okay. Perfect. Is it better? Okay, I'll turn it back on.
Operator: Our next question comes from Fernanda Recchia with BTG. Please go ahead.
Fernanda Recchia: Hello, can you hear me?
Raul Revuelta: Yes, perfect.
Fernanda Recchia: Perfect. Two from our side. The first, thinking on the commercial revenue as well, it's been impressive, the top line growth that you're targeting for this year. Thinking regarding next year, could you comment if you think this growth is sustainable? How should we think about the commercial revenues per passenger going forward? And second, on capital allocation, could you give us some color if we should expect other airports should be under analysis. You already mentioned about the one that you were selected as a preferred bidder, but thinking on other airports? And also if we could expect other deals like the GWTC that you just announced? Thank you.
Raul Revuelta: Thank you, Fernanda. This is Raul. In terms of the commercial revenue, we think that's going to be in terms of the ratio, going to be sustainable in the long-term. And coming year, we will see the opening of some additional areas. I mean the 100% of the results in some of the areas that has just opened on the middle of this year, for example. So, in general terms, we think that the double-digit - the double-digit growth trend on commercial revenues will be sustainable on coming years and years forward. For sure, if related or highly related with the performance of traffic. So one of the key factors to really understand how it could be on the long-term, the growth on commercial revenue is related with the bringing back of the fleet of all the fleet that is down for the engines problem. So as soon as we begin to see a coming back of the fit we think that the results on commercial revenues could be even better. In terms of other opportunities, as we just say, we are just going really, really deep in the Turks and Caicos opportunity. But for sure, we are reviewing always all the different options of a possibly opportunities of investment in airports. In the region, we are reviewing all the time, any kind of opportunity there. For the moment, the only one that we have in terms of airports that we in our pipeline is the one related with Turks and Caicos. In terms of other similar acquisitions could be GWTC, I would say that all the times, our new business officer is looking for different opportunities that could be in some way aligned with the kind of profit that GAP needs for the accretive in value. But it's, I would say, a continuous process that is happening in our business. So that is in general terms.
Operator: Thank you. Our next question comes from Jay Singh with Citi. Please go ahead.
Jay Singh: Thank you for taking my question. It's Jay dialing in on for Stephen Trent. I guess you already answered my question on the Turks and Caicos situation, but I also want to ask, do you have a strong preference for the dual-tool regulatory structure? Or would you also consider single-tool or inflation-based model? Thank you.
Raul Revuelta: Thank you, Jay. In general terms service model for Turks and Caicos, in terms of regulatory model, it has all the inflationary review for the next 30 years. Mainly you have some commitments on CapEx that happens on the first moment of your original proposal. And on the future, there's not like reviews of marker plans or review of tariffs, all the tariffs will be only review in terms of inflation on the future on that specific model.
Saul Villarreal: Yes. And I will add only that the upside or the potential upside in this airport is in the commercial revenue, and also in the cost of operation that will have some efficiencies.
Raul Revuelta: Yes. We -- I just say, adding of what Saul was saying, we are really comfortable about our knowledge in the Caribbean market. Just for the experience of the tour operators in Jamaica. So, we think that we could be really competitive on this bidding process, just taking into account all the experience that, we already have operating in the region.
Jay Singh: Great, color. Thanks, guys.
Operator: Our next question comes from Gabriel Himelfarb with Scotiabank. Please go ahead.
Gabriel Himelfarb: Hi, thanks for the call. Just a quick follow-up question. Can you give us a bit of color about how the Pratt & Whitney's engines have been affecting the network and the traffic? I mean, Volaris has shown a decrease in traffic. And also, what are your expectations on the new acquisitions on GWTC? What's the expected revenue payout you're expecting to receive? Thank you.
Raul Revuelta: Thank you Gabriel. As you know, the impact of the - on the engine began on September of last year. What we think on this 2024 that the worst part will be on the third quarter of the year when we want to see the full impact of all the fleet that, we grounded for the engines problem. After that, for the fourth quarter, we want to have a better comp. So in some way, we're going to begin to see some positive numbers related with two factors. One, a better, easier comps. But second, there are some specific additional claims arriving, mainly for Volaris and Viva Aerobus, but it's some way helping for some -- we'll add some capacity. We think that gradually, all 2025, we're going to see recovery rather recovery of the fleet from mainly the both companies that be more effect Volaris and Viva Aerobus. So, we think that at least all the 2025 will continue affected, and we will see a full comeback of total seats much close to 20 - to the half of the year of 2026. But again, it depends on the times and delivery of the already work at engines for Pratt & Whitney. But in general terms we expect that for the first half of the 2026, we will recover the full capacity in our airports. In terms of GWTC?
Gabriel Himelfarb: Okay, thank you.
Saul Villarreal: In terms of GWTC? Yes. Hi, Gabriel. This is Saul. Regarding GWTC having an expected revenues above of 2023 around 10%. Obviously, we are now taking control of this new asset, and we are reviewing the potential growth of this business. For now, our estimate is around 10% above of 2023 in terms of revenues.
Gabriel Himelfarb: Okay, thank you.
Operator: Our next question comes from Andressa Varotto with UBS. Please go ahead.
Andressa Varotto: Hi, good morning. So Raul, thank you for taking my question. I have two quick ones here on our side. First one, on traffic as well. Right now, we see that capacity is being restricted by the impact of P&W engineering inspections, but we are also increasingly seeing worldwide concerns about a weaker demand. So like you have like any take on that? I know probably harder to tell right now which could be the impact of demand considering the capacity constraint. And my second question is regarding costs, since you're seeing strong cost expansion in the quarter. So we know what can we expect in the coming quarters regarding costs?
Raul Revuelta: In terms of the traffic, Andressa, as you perfectly say, I mean the capacity constraint related with the Pratt & Whitney, I mean, clearly in the market. And if not, I would say, full transparency of full knowledge about what's going to be specific the time for the recovery of everything is like, I would say, a moving target of what we consider. But also, as you know, for instance, both announced that the deliveries in the coming years will not be lower than the original expectation of new deliveries that will also bring some kind of pressure to the capacity of some of our major airlines as Volaris and Viva Aerobus, because as you remember, a couple of years ago, both airlines announce big deliveries with Airbus. So, I think that lease the coming year, there will still pressure about the capacity and the availability of additional fleet that will come to the market, mainly related with what is happening with for sure, Pratt & Whitney, but also what could happen and the times of the delivers in the future mainly from Mera Group. In general terms, our expectation is going to be that the next year in general terms, we will continually seeing some pressure in terms of capacity. But in some specific routes, there still be room for growing in terms of load factors in one hand. And in other hand is we are seeing different airlines flying new routes in our net. For instance, we have American Airlines that, for the first time, U.S. carrier operates in Tijuana airport for the first in history and it's doing well with a daily service to Phoenix, but also Alaska already announced the beginning of our route from La Paz to Los Angeles that is I would say, completely a brand-new route. We also have the announcement of Aeromexico for different international routes from our airports. So what I've seen for the moment is that it's more clear that at least an international market, we will see some increases in capacity in the coming years. That the domestic market will be more pressure for all the capacity issues at least in the coming year. But in general terms, I think that still being a, some room to grow that come from new opportunities of new routes and also some space on load factors that will bring us some growing. And for sure, the easier comps in terms year-to-year. But in general terms is what I'm seeing on the capacity possible growth on coming years.
Saul Villarreal: Yes, Andressa, this is Saul. Regarding your questions about the cost side. As we explained already, we have some affectation in terms of labor law, not only in Mexico, but also in Jamaica. And we are having additional cost and pressure in terms of inflation. Besides that, once we have more spaces and more areas operating we have in Guadalajara Airport with the different expansions. The cost will be increasing, the operation of the tail also implies a cost of operation. Just have in mind that the EBITDA margin in the hotel is around 35%. So it's different than the margin that we have. So it dilutes the margin, and we have and we have additional cost in maintenance and additional costs in terms of the electricity. So the tariffs are increasing in Mexico and also are increasing significantly in Jamaica. So we have pressure for all the sites in terms of the operation. It will be normalized, let's say, once we close the year, once we finalize the tariff negotiation, and obviously, once we see that the revenue related with the expansions that we have in the different airports. So I think the point is, it is an extraordinary quarter. It's not obviously the regular quarter that we just have. So it's an extraordinary and will be recovered in the next year.
Andressa Varotto: Perfect. Thank you very much.
Operator: Your next question comes from Andreas Carrera with GBM. Please go ahead. Andreas Carrera, your line is open. Please check your mute function.
Andreas Carrera: Can you hear? And thanks for taking my question. And can you clarify how GWTC will be consolidated in the financial statement? And will it be left side on the American economy or on an American plane?
Alejandra Soto: Andres, this is Alejandra. I am so sorry, but your line is not really clear. Can you try to repeat it if we can understand better?
Andreas Carrera: Yes.
Alejandra Soto: Or writing the question?
Andreas Carrera: Thanks. Can you hear me now?
Alejandra Soto: It's better.
Andreas Carrera: Sure, I will write it in the webcast.
Alejandra Soto: Thank you.
Operator: We'll move next with Pablo Monsivais with Barclays. Please go ahead.
Pablo Monsivais: Hi. Thanks for taking my question. Just kind of a follow-up to previous questions. What is your take on Volaris updated guidance on capacity? Have you talked to them? And if so, have they provided to you some insights on what could be the impact for the routes that Volaris is operating with you? Because it seems that they are a bit more positive for capacity for the second half of the year? Thank you.
Raul Revuelta: Thank you, Pablo. This is Raul. Yes, we are -- I mean, in a daily basis with communication with Volaris about their operations. For sure in the long term, the coming year, we're still seeing that there will not be the full recovery of the seats. But one of the parts that we are seeing that is in some way interesting to follow with Volaris they have adapted some of their routes. They have, I would say, a better use of their flip some additional hours of flying, the variable seats, their ACMs are, I mean, in some way expecting to be for the last quarter, growing a little bit. So in general terms, let me put it in this way. Volaris have made the correct moves strive to support the most dense or bigger routes that have, in some way, the better possible demand. And in general terms, that gives us a little better position on the last quarter of the year in terms of traffic. But again, on the long term, I mean as soon as the P&W engines issue, it's solved, it's not fully solved, we will continue seeing some lack of capacity, and for sure, a decrease in general terms of the capacity in our airports for at least the coming year. But yes, we are a little more positive for the second half of the year, talking about specific of Volaris.
Pablo Monsivais: Perfect. Thank you.
Operator: Our next question comes from Alan Macias with Bank of America. Please go ahead.
Alan Macias: Hi. Good morning and thank you for the call. Just at this point, can you provide a long-term sustainable EBITDA margin target that you might be looking at? Thank you.
Saul Villarreal: Alan, this is Saul. Well, this year will be complicated. As you know, all the issues that we have ongoing, the discounts in passenger charges, the different issues related with the cost, the decrease in passenger traffic. But for 2025, and once we have in the new tariff, we will be close to 68%, 68%-plus less 1%. It will be the normalized EBITDA margin.
Alan Macias: Thank you.
Operator: And now I will turn the call over to management to take the webcast questions.
Alejandra Soto: Thank you, Nikki. And the first question we have is from Bernardo Martica from Santander. He's asking if aeronautical revenues fell 7.7%, while traffic fell 4.1%. What was the fall in aeronautical revenues worse than traffic? What is the mix, discounts?
Raul Revuelta: The first part is related for sure with -- it's a mix of things. The first one is the fulfillment of the maximum tariff that is related in one hand with discounts mainly. Also, we have, in general terms and a 95% of fulfillment on the maximum tariff and that is the biggest part of the explanation of the difference between revenue aeronautical revenues and passengers growth. Also, as you remember, Puerto Vallarta and Cabos, both airport has the most the biggest maximum tariff in our net and both of these airports has zero increase. So in general terms, it's a mix -- it's a mix between the composition of the maximum tariff in our portfolio and also the 95% on the fulfillment on the maximum tariff.
Alejandra Soto: Thank you, Raul. Then we have another one from David Cruise from Grupo Bal. Regarding the purchase of Guadalajara WTC, how do you expect that this will change the estimate of results for 2024?
Saul Villarreal: David, this is Saul. Well, it is already included, the expected revenue and EBITDA for this new asset. And as we mentioned, will be consolidated and integrated to our figures starting on July 1. So it is already included in the guidance. And as we mentioned, the total revenues will be around 10% above of the revenues in 2023.
Alejandra Soto: Thank you, Saul. The third one is from [Alina Sur] from Capitola. Will GAP pay concession fees and technical assistance fees over GWTC revenues?
Raul Revuelta: Thank you. I mean in terms GAP will not pay additional concession fee on technical assistance over the GWTC revenues. But it's important to remember that GWTC is a concession. So they already pay a concession fee for the authority. So GAP will not pay additional concessions fee. But in the cost of WTC, they are already paying a concession fee, because it's a fiscal concession.
Alejandra Soto: Thank you, Raul. Now we have the question from [Gens Pace] from Morgan Stanley. Thank you for writing this. It says, my question was related to your new EBITDA growth guidance which implies a roughly 5% year-over-year growth in the second half of 2024 versus minus 5% in the first half of 2024. The new acquisition adds around 2% of EBITDA growth, right? So what other variables do you see improving in second half versus first half that we need to consider?
Saul Villarreal: Hi Gens. This is Saul. We don't have any other major changes. GWTC consolidation is important. Is a new asset, will be integrated. It wasn't included during the first half in the results of the company. So we don't have any other issues besides the effect of the capitalization of the 4% was already included in the first half. And I would say that probably the effect on the increase in the commercial revenues that was included in the new revised guidance.
Alejandra Soto: Thank you, Saul. Then we have [Alina Sur] from Capitola. The midpoint of your guidance implies a growth of 5% year-over-year on EBITDA on the second half of the year. How exactly will this be a shift given the decreasing tariff impacts year-over-year?
Saul Villarreal: Hi Ali, this is basically because the consolidation of the new of the new cargo company, GWTC that will represent around MXN300 million of EBITDA that will be integrated into the figures of the company. That's the main reason. Obviously, the performance of the commercial is helping but basically is the main reason of this increase.
Alejandra Soto: Thank you, Saul. And the last one, it is from Mauricio Buitrago from AM Advisors. When do you expect to see the full benefit in revenues from the expansion in Guadalajara?
Raul Revuelta: Thank you, Mauricio. I mean, just -- we already just opened some of the new commercial areas on Guadalajara airport. So let me put it in this way. On August of this 2024, will be 100% of the new commercial spaces would be operating. So from that, we'll have the full year of operation of the new areas going to happen in 2020 - August of 2025, I mean, the first full year of all the concept operating.
Alejandra Soto: Perfect. Thank you, Raul. With this, we end from the webcast questions. So I will turn the call to Nikki.
Operator: We show no further questions over the phone at this time. I will turn the call over to management for closing remarks.
Raul Revuelta: Thank you again, everyone, for joining us today at our second quarter results conference. On GAP's behalf we wish you a great day. Thank you.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time.